Operator: Good afternoon. Thank you for attending today’s Paycom Software Second Quarter 2022 Quarterly Results Conference Call. My name is Bethany, and I will be your moderator for today's call. All lines will be muted during the presentation portion of the call with an opportunity for questions-and-answers at the end. [Operator Instructions] I would now like to pass the conference over to our host, James Samford, Head of Investor Relations. Please go ahead.
James Samford: Thank you, and welcome to Paycom’s second quarter 2022 earnings conference call. Certain statements made on this call that are not historical facts, including those related to our future plans, objectives and expected performance are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements represent our outlook only as of the date of this conference call. While we believe any forward-looking statements made on this call are reasonable, actual results may differ materially, because the statements are based on our current expectations and subject to risks and uncertainties. These risks and uncertainties are discussed in our filings with the SEC, including our most recent annual report on Form 10-K. You should refer to and consider these factors when relying on such forward-looking information. Any forward-looking statement made speaks only as of the date on which it is made and we do not undertake and expressly disclaim any obligation to update or alter our forward-looking statements, whether as a result of new information, future events or otherwise, except as required by applicable law. Also during today’s call, we will refer to certain non-GAAP financial measures, including adjusted EBITDA, non-GAAP net income, adjusted gross profit, adjusted gross margin and certain adjusted expenses. We use these non-GAAP financial measures to review and assess our performance and for planning purposes. A reconciliation schedule showing GAAP versus non-GAAP results is included in the press release that we issued after the close of the market today and is available on our website at investors.paycom.com. I will now turn the call over to Chad Richison, Paycom’s President and Chief Executive Officer. Chad?
Chad Richison: Thanks, James, and thank you to everyone joining our call today. We had another very strong quarter. I'll spend a few minutes on the highlights and then turn it over to Craig to review our financials and our guidance, and then we'll take questions. Our second quarter 2022 revenue of approximately $317 million came in very strong, up 31% year-over-year with continued strength in recurring revenue from new business sales. We continue to see strong demand for self-service payroll and automation of human capital management as more companies and their employees embrace innovative solutions like Beti. We’ve been leading the employee usage initiative for years and our efforts are paying off. When data interactions on our platform are performed by employees, our clients realize the ROI that self-service promises. At the core of our employee usage strategy is Beti, which we believe is how businesses and their employees win in payroll. If any business is doing the employees payroll for them, that business is doing both itself and its employees a disservice. The only way a company wins at payroll is by having the employees do it themselves. It makes no sense in the year 2022 for any company to continue to transfer data inefficiently through multiple systems or manual archaic processes. Beti is the future of payroll, and already over 13,000 clients or nearly 40% of our client base have embraced Beti. That's great progress, but as I've said, I expect all clients will eventually deploy Beti in order to finally experience the correct way to do payroll. We are reinforcing this message through our marketing efforts. Our recently launched new ad campaign calls on businesses and their employees to eliminate unnecessary activities, and the early feedback has been very positive. Overall, our marketing plan continues to deliver strong demo leads and brand recognition across the target market range. In particular, we continue to see strong leads from larger clients, which is driving average revenue per client higher, and an important contributor to our strong growth. On the sales front, our 54 outside sales team continue to perform well driving deeper penetration and market share gains into our target geographies. While we estimate we have roughly half of the country covered geographically, we only have approximately 5% of a very large and growing TAM. We have a long runway for rapid growth for many years to come. To sum up, we finished the first half of 2022 with very strong financial results. With our expectation for the second half of the year, 2022 has become a year of growth acceleration and margin expansion. Our differentiated product strategy focused on employee usage and self-service payroll is resonating with prospects, and we are onboarding new clients at a very strong pace. I want to thank our employees for making this quarter another milestone growth quarter. With that, I'll turn the call over to Craig for a review of our financials and guidance, Craig?
Craig Boelte: Thanks, Chad. Before I review our second quarter and our outlook for the third quarter and full year 2022, I would like to remind everyone that my comments relating to certain financial measures will be on a non-GAAP basis. Second quarter 2022 results were excellent, with total revenues of $316.9 million representing growth of 31% over the comparable prior year period. In Q2, we had very strong recurring revenue growth, predominantly from new client additions over the past year. Our revenue growth continues to be driven by strong demand for easy to use employee focused solutions and our success in attracting new business wins. Within total revenues, recurring revenue was $311.5 million for the second quarter, representing 98% of total revenues for the quarter and growing 31% from the comparable prior year period. Total adjusted gross profit for the second quarter was $268.2 million, representing an adjusted gross margin of 84.6% and we are on target to achieve strong full year adjusted gross margin of approximately 85%. Adjusted sales and marketing expense for the second quarter of 2022 was $82.7 million or 26.1% of revenues compared to 26.6% of revenues in the prior year period. We continue to see strong return on investment from our advertising spin and plan to continue to invest aggressively in marketing and advertising through the remainder of 2022. Adjusted R&D expense was $33.9 million in the second quarter of 2022 or 10.7% of total revenues. Adjusted total R&D costs, including the capitalized portion were $48.1 million in the second quarter compared to $38 million in the prior year period. We will continue to invest in innovation in our world class products. Adjusted EBITDA was $119.6 million in the second quarter of 2022 or 37.7% of total revenues compared to $87 million in the prior year or 35.9% of total revenues. Our GAAP net income for the second quarter was $57.4 million, or $0.99 per diluted share, versus $52.3 million or $0.90 per diluted share in the prior year period based on approximately 58 million shares. Non-GAAP net income for the second quarter of 2022 was $73 million or $1.26 per diluted share, versus $56.5 million or $0.97 per diluted share in the prior year period. For 2022, we anticipate our full year effective income tax rate to be approximately 27% on a GAAP basis. Turning to the balance sheet. We ended the quarter with cash and cash equivalents of approximately $279 million and total debt of $29 million. The average daily balance of funds held on behalf of clients was approximately $2 billion in the second quarter of 2022. We recently increased our liquidity through an expanded revolving line of credit of $650 million and a delayed draw term loan that allows us to borrow up to an additional $750 million as needed. Potential uses of proceeds include, but are not limited to general corporate purposes, capital expenditures and stock buybacks. During the second quarter of 2022, we took advantage of a dislocation in the stock market, and repurchased approximately 360,000 shares for a total of roughly $100 million. Through June 30, 2022, Paycom has repurchased nearly 4.65 million shares since 2016, for total of nearly 588 million, and we currently have 550 million remaining in our buyback program. Now, let me turn to guidance. We are raising our full year 2022 guidance as a result of very strong second quarter financial performance and the continued strength of demand trends. We now expect revenue in the range of $1.354 billion to $1.356 billion or 28% year-over-year growth at the midpoint of the range. We expect adjusted EBITDA in the range of $546 million to $548 million, representing an adjusted EBITDA margin of 40% at the midpoint of the range. For the third quarter of 2022, we expect total revenues in the range of $327 million to $329 million, representing a growth rate over the comparable prior year period of approximately 28% at the midpoint of the range. We expect adjusted EBITDA for the third quarter in the range of $117 million to $119 million representing an adjusted EBITDA margin of 36% at the midpoint of the range. With only 5% share of a growing TAM, we have a long runway for continued high margin revenue growth for years to come. Our differentiated solutions and go-to-market strategy, particularly with Beti are working well and driving new client growth and higher revenue per client. Combining our raised 2022 guidance for revenue growth, with adjusted EBITDA margin guidance, implies we are well on our way to deliver a material improvement over the Rule of 65 we achieved in 2021. With that, we will open the line for questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Raimo Lenschow with Barclays. Please go ahead.
Raimo Lenschow: Thank you. Congratulations from my end. Two quick questions. Chad, can you talk a little bit about what you're seeing there? Obviously, macro is a big question for everyone on -- everyone's mind. Employment data are still very, very strong. But like anything that you're seeing out there in terms of end demand changes or a different behavior from customers? It's my first question. My second question is Craig for you. Obviously, we have quite a bit of rate changes over the last quarter. Can you just remind us how that fits into your numbers going forward? Thank you and congrats again.
Chad Richison: You bet. Thank you, Raimo. I'll take the first. Now we really aren't seeing much of a change from what we've seen in the past. I mean, I will say that I believe that it's not as difficult maybe to hire people as it was 6 months ago, but it's still very much an employee's market. And I would say we're nowhere back -- in no way back to where we were in 2019, where it was more of an equally yoked employer-employee market. So, there's still a lot of jobs out there unfilled, and it's still a very -- we're still all in at somewhat of a fight for talent.
Craig Boelte: Raimo, on the interest rate question, for every 25 basis points that interest -- the Fed funds rate goes up, we get about $5 million of annualized interest income, but it's typically layered in. So, we saw one in May, and then June and July, we saw some. So those will layer in some in third quarter, and then some in fourth quarter as well.
Raimo Lenschow: Okay, perfect. Thank you. Congrats again.
Chad Richison: Thank you.
Operator: Thank you. Our next question comes from the line of Samad Samana with Jefferies. Please go ahead.
Samad Samana: Hey, good afternoon, and it's great to see the strong results. Maybe first one, Chad, just in terms of deal cycles are you seeing a similar closed rates or similar lengths in terms of the typical deal cycle? Are you seeing any changes in terms of the level of approval that needs to go to? What are you seeing as far as actually closing deals goes?
Chad Richison: Yes, no changes there from what we've been seeing. As far as the timeline and in our close percentages, I would say if anything, they're going up, we're definitely getting more interest in the first calls that we have, and being able to move those into second calls. So we're having more success with that. But all in all, our close ratios remain very strong and very similar to what they've been in the past.
Samad Samana: Great. And maybe just on the newer sales offices. Any -- I know it's -- we're still early in, in terms of the ramp, but where are we on the staffing of those and maybe the productivity compared to maybe prior new office openings for comparison?
Chad Richison: I would say the staffing is going to be similar. They're more productive today. Today's new reps are more productive than what yesteryears reps would have been. But as far as the number of reps that's very similar. The progression to maturity of any one of our new offices is going to start off with three or so reps. And then we'll continue to add reps over the course of a 2-year period. Of course, at some point, they're fully staffed with eight and they all have both pipelines and backlogs. And so after 2 years, the -- those cities carry the same quota as what we would have had in an existing city.
Samad Samana: Okay, okay. Great. Thanks again for taking my questions, and great to see the good numbers.
Chad Richison: Thank you.
Operator: Thank you. Our next question comes from the line of Brad Reback with Stifel. Please go ahead.
Brad Reback: That's great. Thanks very much. Chad, can you remind us historically what type of impact employment levels that your customers have has on your overall growth?
Chad Richison: Yes, I mean, next year will be our 25th year and with the exception of the 2 months -- that the two beginning months of the pandemic, normal gyrations in unemployment haven't really impacted us. We've gone through multiple cycles. And now the pandemic is a little different because you had an overnight retreat of an employee base, which was a little bit different. But I would say we're very solid in regards to unemployment. That said, I mean, if unemployment doubles overnight, it would be hard for me to believe it wouldn't have some impact on our current client base, but as we sit here today, unemployment numbers still remain reasonable with where they're at right now. I mean, you might even say they're still fairly low. And then you still have quite a bit of open jobs out there with over 10 million [ph]. I mean, at some point, you have to start thinking, does everybody that wants a job already have one.
Brad Reback: That's great. Thanks very much.
Chad Richison: Thank you.
Operator: Thank you, Mr. Reback. Our next question comes from the line of Mark Marcon with Baird. Please go ahead.
Mark Marcon: Hey, Chad and Craig. Let me add my congratulations. Terrific results. Wondering, can you talk a little bit about the strong leads that you're getting, particularly from a larger client? Can you talk a little bit about what sort of size difference you're seeing? How big are some of the companies that are now coming into the pipeline? And to what -- how big is the average client now relative to say a year ago?
Chad Richison: Well, it continues to go up because as you remember, it was about a year ago, maybe a little longer that we increased our range up to 10,000. And so, obviously, it's going to continue to go up a little bit. I wouldn't say that there's been a massive shift for us to go a whole lot higher than that right now. So what I would say is, is there's been more within that range, not necessarily quadruple that range. But we continue to engage well above our target range, and we're having a lot of success. A lot of the leads we're getting right now are still coming from employees of companies that have used us elsewhere, have that single easy to use experience, and are really wanting to have that same experience at the next company they went to. So we're still having a lot of success and continuing to bring in strong demo leads through both that which I'll say is indirect as well as through our advertising and marketing efforts, which are still yielding great results for us.
Mark Marcon: That's great. And then, with regards to the float balances, what was the effective yield that you were able to generate off of last 3 months?
Craig Boelte: Yes, Mark, we haven't disclosed what yield it is, but I mean, we're investing still fairly short-term. We have commercial papers from overnight money market as well. So, kind of a mix of that and we're not chasing yield, but we're paying attention to it.
Mark Marcon: Okay. Obviously, getting more and more promising. Thank you.
Chad Richison: Thank you.
Operator: Thank you, Mr. Marcon. Our next question comes from the line of Brian Schwartz with Oppenheimer. Please go ahead.
Brian Schwartz: Hi. Thanks for taking my questions. I like to owe [ph] congratulations again on these terrific results. One for you, Chad, one for Craig. Chad, the commentary that on the deal closers -- closures you're saying higher ASPs. Are you seeing similar trends in your lead flow also? And then the question I want to ask, Craig, with the guidance you're retaining the same EBITDA margin. But clearly we know that inflationary factors have gotten worse here throughout the quarter. So I'm just wondering, are you able to maintain that margin because of the efficiencies of the business that you're able to overcome? Or is that are you holding back any sort of spend that maybe you had planned in the second half of the year? Thanks.
Chad Richison: Sure. So on the first, I mean, definitely, the leads are also coming in with larger clients, but also we still continue to target -- to do targeted prospecting. That's always been our bread and butter. We're very -- we remain very focused on that. That's more of our general pressure relentlessly applied strategy that we deploy through target marketing efforts, but there's no doubt that the leads continue to generate larger opportunities for us.
Craig Boelte: Yes, and in terms of the inflationary question, we've seen some pockets where we're seeing some higher inflationary areas, but overall we're continuing to look for leverage throughout the model and really not holding back on any hires. Just finding leverage throughout the model.
Brian Schwartz: Thank you.
Chad Richison: Thank you.
Operator: Thank you, Mr. Schwartz. Our next question comes from the line of Ryan MacDonald with Needham. Please go ahead.
Ryan MacDonald: Hi, Chad and Craig. Thanks for taking my questions. Congrats on a great quarter. Chad, in your prepared remarks, you talked about this dynamic where you've got nearly half the country covered geographically, but only 5% market penetration currently. As you think about continuing to expand Paycom's portion of the pie, where do you see the most value in terms of incremental investment? Whether it be continuing that geographic expansion in the back half of this year with new offices, incremental advertising spend to build the brand awareness, or perhaps continued investment and expansion inside sales teams? Thanks.
Chad Richison: Well, number one, is us continuing to get better at the outside sales process. We have more opportunity out there for us within the markets that we're in. We only have 5% of the market out there. So, I would say number one for us is continuing to get better at selling our value proposition out there to prospects. We have continued to be pulled up market, because of the strong value proposition that we are delivering all the way down to the employee level. And so, we are continuing to get more leads that tend to be a little bit larger than what we've had in the past. And I would say, in aggregate, there's more of them as well. And so really, that's been our focus is getting better at executing and being able to sell that. Now that alone isn't our only strategy. We're getting better at sourcing leads, we're getting better at retargeting them. And then of course, we continue to look at expanding geographically when it makes sense to do so. And when we have the staffing and leadership bench to be able to do them.
Ryan MacDonald: Thank you. Maybe just as a follow-up, when you look at sort of the yield that you're looking to get off of the digital marketing investments in the advertising, can you talk about what the timeframe that you're looking for in terms of that return on investment, and whether if we do see a slowdown in the back half years that could materially impact those returns in the near-term? Thanks.
Chad Richison: Yes. Well, we measure it weekly. So I mean, we know our return weekly. I mean these aren't -- I mean, these are very strong demo leads. These are clients who are asking for a product demonstration. And we have very good close ratios, once we engage with those clients. And so, it would be more of that for us. As far as the slowdown in the back half of the year in this, I really don't -- I really can't see that. I mean, we have a very strong value proposition which is resonating very well out there, both with employees as well as with their employer. And to some extent, the world is conspiring to help us here in just the way different individuals now deploy and utilize technology. And so we're at the forefront of that. I've said many times, I mean, we might be early, but we're not wrong. And so we're going to continue to drive our employee usage strategy throughout the -- both the last half of this year as well as next year.
Ryan MacDonald: Thanks for the color, Chad. Congrats again.
Chad Richison: Thank you.
Operator: Thank you, Mr. MacDonald. Our next question comes from the line of Siti Panigrahi with Mizuho. Please go ahead.
Alexander Kim: Hi. This is Alex on behalf of Siti Panigrahi. I had a question about Beti. You talked about 10,000 clients uptaking Beti in Q1 and this quarter. You have about 13,000 clients. What drove the 3K net adds and what sort of per employee per month uptake be part of Beti? And what kind of growth upside do you see from Beti adoption? Like can you answer that and I’ve a follow-up.
Chad Richison: Yes, well, I mean, we continue -- it continues to grow every quarter for two reasons. One, we continue to upsell Beti into our current client base is it's a better way for them to do payroll. It really is the only way someone should be doing payroll today. But as a reminder, since July of last year, every new client that's come on our system has deployed Beti, and so that's a part of our product offering since July of last year to every new client. And so you got a mixture of both of those. And then as far as the opportunity that upselling into our client base has with Beti, it is incremental increase in revenue opportunity for us. So it's accretive to that profile. But in every year, we have different focuses on modules. So -- and this year, and I'm sure in the next year we are going to continue to be focusing on upselling Beti to 100% of our client base. And again, it'll be positive. But really what it does is it drives greater usage. Greater usage reduces the amount of service we have to provide to any one client. Because of course, if their payrolls are correct, we're not having to go through the process of doing corrections and corrections can produce service calls. And so, we believe that with greater usage of Beti done the right way, it changes the employee experience, it changes their expectation of what they would expect that any employer that leads to more leads for us that leads to greater satisfaction for clients, which ultimately also leads to less service on our end as clients experience the self-service opportunities.
Alexander Kim: Got it. Thank you. And my follow-up was ADP continues to see better retention rates, and how does your new bookings on trends -- have trended so far and are expecting any slowdown in new business bookings from a potential macro slowdown in the second half? And is ADP still a major source of new business for you?
Chad Richison: Yes, ADP has been experiencing better retention rates since I started the company in 1998. I'm surprised their retention is not already at 200%. But it doesn't impact our ability to sell and our ability to sell and take business. As again, our product is more comprehensive. It's easier to use. And it's just the way that employees should be interacting with their own data.
Alexander Kim: All right, thank you.
Chad Richison: Thank you.
Operator: Thank you. Our next question comes from the line of Bryan Bergin with Cowen. Please go ahead.
Bryan Bergin: Hi, guys. Good afternoon and thank you. Wanted to start here kind of with the [indiscernible] recession question. So just how are you thinking about the sustainability of growth trajectory in the event, the U.S does fall into a bit of a more challenged macro environment. And it's just as you think about the growth composition, what are the key swing factors that may change versus what you think remains unchanged?
Chad Richison: Well, first of all, just talking about the macro, I mean, the only thing that I could really see that would have a significant impact on us would be a very quick and massive shift in unemployment. That doesn't happen incrementally over time, but happens somewhat right away. I would think that that would have some level of impact on us. We're a growth company, we're focused on growing. We're focused on automating the back office and we're focused on making it easier for employees to actually do their job. And so that's always going to be popular regardless what's going on out there. And oftentimes when people have to do something with less that means they get the opportunity to automate more. And so, I feel really good about our ability to weather, what we would expect to happen. But again, it would take something -- some massive change in the unemployment rate to really impact us. And I'm not saying we couldn't sell through that. But you kind of saw what happened during the pandemic and what happened there. And I would say, that's probably much larger type of unemployment hit than what we would expect necessarily in a recession, definitely something that would have happened a lot quicker, and all at once. But we'll just have to see, but say that I'm not really -- I can't really see a whole lot that would prevent us from continuing to grow at a strong rate. And again, I mean, this next year is our 25 years in business. So, we've been through different recessions and been on different cusps of recessions in the past.
Bryan Bergin: Okay, thanks. Appreciate that. And then just a follow-up on free cash flow. Can you comment on just free cash flow margin for this year? How you expect those to land for 2022? And just any thoughts on longer term forward free cash flow conversion trends?
Craig Boelte: One thing this quarter that impacted our free cash flow, some was just the tax rate. We saw last year, we -- second quarter, we had some benefit from a discrete item to the quarters or related to some stock vestings. And this year, we didn't have quite the same level. So, I would think that what we're seeing this year would be more indicative with -- as we kind of roll out throughout the rest of the 2022 and then into 2023.
Bryan Bergin: Thanks.
Operator: Thank you. Next question comes from the line of Jason Celino with KeyBanc Capital Markets. Please go ahead.
Jason Celino: Great. Thanks for taking my question. Really strong results here, especially given the macro backdrop, Chad, how would you describe or attribute the upside that we've seen just from industry resilience versus company specific drivers and execution?
Chad Richison: Yes, so much of our upside in any one quarter is dependent upon when a deal starts. We always believe going into quarter we have a really good -- we have really good visibility into when a deal is going to start. But when it starts matters. When you're talking about overperformance within a quarter because of course, if a deal starts at the beginning of a quarter, we get 100% revenue billing for that deal, that quarter, that starts at the end of the quarter, we could only get a third of the billing or maybe 15% of it. Of course, in subsequent quarters, we get 100%. So we have pretty good visibility, I'd say we have great visibility going -- guiding quarter-to-quarter. But as far as the outperformance it's always being delivered by new client wins. And then on top of that, you really have to look at when those deals are starting for us.
Jason Celino: Okay, perfect. And then, Craig, again, 31% growth in the quarter, very impressive. I think the guidance assumes for the second half some modest deceleration. Curious on what kind of macro assumptions you've built into this.
Craig Boelte: Yes, I mean, as we were coming into guidance, I mean, at this point, we haven't seen anything. You're starting to hear about it, but we haven't baked any sort of a macro impact to our guidance for the back half of the year. Really, we're guiding very similar to how we've done in the past. We guide to what we see. As we get closer to fourth quarter, we can see a little more on the fourth quarter. And that's the quarter that has the bonuses, the off cycle runs. So, as we're sitting here in by the beginning of Q3, we're guiding very similar to how we have in the past.
Jason Celino: Okay. Thanks for the clarification, Craig.
Chad Richison: Thank you.
Operator: Thank you, Mr. Celino. Our next question comes from the line of Arvind Ramnani with Piper Sandler. Please go ahead.
Arvind Ramnani: Hi, thanks for taking my question. So clearly good results. But I’m trying to dimension are you able to kind of separate how much of your growth was driven by expansion at existing clients versus new client logos?
Chad Richison: Sure. Is that the question? I'm just making sure. Okay, if that's a question, the overwhelming majority of our revenue and our revenue that we onboard, our new business revenue comes from new client wins. We do continue to sell into our client base. I've never said land and expand. We land large, but there are opportunities for us to expand into that client base. And we do that, as we believe that clients should be able to use all the products that we have the correct way to drive the employee experience. Go ahead, Craig.
Craig Boelte: One thing I would say, Arvind is, our outside clients, our outside sales team, those 54 sales teams are only bringing on new logos. So that entire group is bringing on new logos. So the mix has been very similar to what it has been in the past, with the exception that ACA came about where we did -- that was such an immediate upsell. But the last few years have been very similar to the mix of new logos to upsell, and it's still -- the overwhelming majority is going to be new logos.
Arvind Ramnani: Perfect. And just quick follow-up here. Have you seen any sort of layoffs or turnover with existing clients that has been a headwind on revenue? Or has it been sort of roughly equal? And then the second thing is, if you can comment on pricing, if you've been able to push sort of pricing increases through?
Chad Richison: Now on the headwind. And then as far as our pricing, we've talked about that in the past where we did our first pricing adjustment, I believe it was in 2019. And we did a small pricing adjustment to a small subset of our client base. We did talked about as we move forward, that talking about our pricing model isn't something that we're going to do just for competitive reasons, but I've also always said that as we make our product more valuable, it only makes sense that we get to share in the value we create through pricing adjustments over time.
Arvind Ramnani: Perfect, thank you.
Chad Richison: Thank you.
Operator: Thank you. Our next question comes from the line of Alex Zukin with Wolfe Research. Please go ahead.
Alex Zukin: Hey, guys. Thanks for squeezing me in and congrats on an all out great quarter. I guess, so a lot of these questions have been asked, but I'll try to maybe ask it a different way. It sounds like you're having incremental success selling more modules at the same time, because of Beti. You're still seeing a tremendous amount of new business. You don't really see a recessionary headwind impacting employment rate. So I guess the main question I would have is, if you look at you’re the constitution of your new bookings, and you look at that from kind of increased value versus increased units, how does that compare to prior periods? Meaning are you getting more of your growth from the fact that your deals are larger incrementally?
Chad Richison: I would say comparison very similar to every past year with the exception of when we added on to our inside sales business, which are for more of your emerging businesses, those companies that have less than 50 employees, that group represents approximately 5% of our overall revenue. So, that's one way to think about it is companies that have less than 50 employees represent 5% of our overall revenue. And so, what has been growing is the average size of our other clients. And so that hasn't been different in any year from year-to-year. It continues to go up. And again, part of that diluting factor, if you just take the unit count divided by total number of employees in our system, part of that diluting factor is going to be all of those emerging below 50 employee companies that we added when we added this inside sales group and expanded it in the year 2020.
Alex Zukin: Understood. And I guess increasingly, as you think about incremental modules, when you think about that incremental potential over the next coming couple of years, do you see it every year if everybody is buying all of the modules up front? Do you see that kind of momentum continuing in the future?
Chad Richison: Yes, we've always said that people buy half at least half or greater of the modules that we have at the time that we sell them. Of course, we've been in business some time. So some of the modules you have to go back and sell into the current client base, because we didn't have them at the time we actually sold them in the beginning. I would say it's a little bit more than half now as we go into new sales just because of what's required for a client to have in order for an employee to do their own payroll. There's several modules that they have to have. I'm not going to say it's a 100% because that wouldn't be accurate. But I would say it's more than what they needed in the past.
Alex Zukin: Perfect. And just a clarifying question. With respect to the guidance, you did -- it looks like a bigger pass through than usual, bigger raise than usual. So I think it'd be helpful just to understand, out of the incremental raise, how much of that is coming from the rate hikes coming from the model?
Chad Richison: Well, as we've said, I mean, for us, it's really the new business sales are really going to be what's driving quarter-to-quarter, and then it does matter when they start. That's not to say that we're not going to have some positive impact from the rate increases, you had the 50 basis points in May, which is in somewhat in the middle of the quarter, not necessarily maybe a little sort of that and yet another 75 basis toward the end of July. We've talked about how those layered in -- sorry, at the end of June. We've talked about how those layer in and then you also had some in July. So we've talked about how those layer in and so we would absolutely expect that to be have a positive impact on both the next quarter and subsequent quarters. But still first price for us, which has been the growth in new logos.
Alex Zukin: Perfect. Thank you guys. Congrats on a great quarter.
Chad Richison: Thank you.
Operator: Thank you. Our next question comes from the line of Bhavin Shah with Deutsche Bank. Please go ahead.
Bhavin Shah: Great. Thanks for taking my question and I echo my congrats on the strong results. Chad, already you mentioned a lot of the benefits of Beti. But just as it relates to retention, can you talk about what you've seen maybe from those customers that utilize Beti to the ones that maybe don't yet? Are you seeing any improvement there? Or is it still too early?
Chad Richison: Well, I mean, definitely clients that use Beti and deploy Beti are going to have much stronger usage patterns than someone that doesn't. And once they've deployed Beti, it kind of changes the game and the expectation of what an employee expects to be able to use in the business. And so absolutely that impacts our retention. As I've been saying, usage is really what drives retention. And I believe that so for any software out there, but definitely ours.
Bhavin Shah: Helpful there. And Craig just a quick follow-up or clarification on float. I just want to make sure that I understand it. So is it safe to assume that your guidance takes into account the layered impact of all the rate increases up until July and assumes no further rate increases? Is that accurate?
Craig Boelte: Yes, that would be accurate. It would not include any future rate increases, and then layering in what we know up through July.
Bhavin Shah: Perfect. Thanks again for taking my questions.
Chad Richison: Thank you.
Operator: Thank you. Next question comes from the line of Daniel Jester with BMO Capital Markets. Please go ahead.
Daniel Jester: Great. Thanks for taking my question. Just one on margin. Another great quarter of year-over-year margin expansion on the EBITDA line. But you did have some compression on gross margin. I know that Craig talked about the full year expectation for about 85% gross margin. I would think with float income going higher, you'd have a benefit there just like on the EBITDA line. So can you remind us about the investments, potentially, you're making that that could impact that gross margin trends? Thank you.
Craig Boelte: Sure. So with the one thing on the gross margin line, as we continue to hire and hire in front of the revenue growth, that's going to have an impact on that gross margin and then you'll eventually grow into that. You have to hire and train ahead of capturing that revenue. So we're continuing to hire aggressively. And then also, we brought on the new grapevine facility and data center that Tier 4 data center. So you're starting to see some of the depreciation hitting the different areas of our income statement. So that had a small -- had an impact as well on that -- on the gross margin, but we're still expecting to be at least at that 85% level for the full year.
Daniel Jester: Great. Thank you very much.
Chad Richison: Thank you.
Operator: Thank you. Our next question comes from the line of Kevin McVeigh with Credit Suisse. Please go ahead.
Kevin McVeigh: Great. Thanks so much. Hey, is there any way to frame what the revenue impact is, if you were -- if Beti was adopted 100% across your existing client base? So said another way, what's the revenue impact as Beti becomes 100% utilized across the client base?
Chad Richison: Well, Beti is one of 29 modules that we have. So I mean, it would definitely have an impact. Again, where we're making the impacts new business logo ads, and Beti gives us the opportunity to do that. I think Beti will have some impact for sure, because we're charging for it. But I think where you'll see a better impact of Beti once we have every single client on, I mean, I think it's going to impact retention. As we've seen, usage has been impacting retention of our product. We were at 91%. I think it was 3 or 4 years ago, and it's continued to go up. And so that's really been driven by usage. And Beti generate stronger usage of our products. So, if history is an indicator, we would expect that once all of our clients have deployed it, and are actually generating that ROI, it's going to have an impact on our retention. And then also, all those clients employees will be used to Beti and as they go to other companies in the market, as a normal flow of an employee lifecycle goes from one company to the next, we believe that generates even greater leads for us, as we've been seeing now.
Kevin McVeigh: Very helpful. And then, can you just remind us the philosophy on float in terms of to the market as opposed to maybe reinvestment in the business?
Craig Boelte: Yes, I mean, we'll have to see on that. I think a lot of it depends on the timing of when we might make some of those investments. You look at and if it's something that we can invest in, let's say advertising or R&D, that's going to generate additional revenues. And that's something we're definitely going to look at. But we're also a company that doesn't like [indiscernible]. So we're not going to spend it just to spend it. We will to the extent that we don't see an opportunity, we'll let that fall to the bottom line.
Kevin McVeigh: Thanks so much.
Operator: Thank you. Our next question comes from the line of Robert Simmons with D.A. Davidson. Please go ahead.
Robert Simmons: Hey, guys. Thanks for taking the question. I was wondering, are there parts of the market that are responding particularly well to Beti, certain industries that are the most apt to want it and to embrace it?
Chad Richison: No, I would say it's been industry agnostic. I mean, you're talking about Beti is -- the benefit of Beti is to the employee. So it's really -- it doesn't really matter what industry that is anywhere an employee really, really needs for their check to be accurate going into the weekend, Beti is there for them. And within every industry, you will have those types of employees. And then again, every business that would like to automate and reduce, actually reduce their exposure and a lot of their liability around the payroll process, deploying Beti is the right way to do that. And so now, I can't say that there's any industry that Beti would work stronger than the other.
Robert Simmons: Got it. Great. And then can you talk about the UKG situation? I mean, how much benefit have you been able to see from that so far this year, in terms of both bookings to date, and also to pipeline for the second half of the year?
Chad Richison: Yes, I mean, I think that produces an opportunity for everyone. I also think it makes everyone take pause, and everybody's got to make sure they have the right plan for their clients as we're all in this same world together, and -- so I think as you see those kinds of things, I know that we looked at everything ourselves. I'm sure many competitors looked at what everyone can do differently to make sure that employees always get paid. Yes, I mean, absolutely, it produces opportunity. But I don't -- I wouldn't say it's the hack that produces the opportunity. I mean, it's the fact that someone has an opportunity to have a very good experience in a single system for their employees. So they have an opportunity to have multiple systems where their employees are trying to find their passwords. And I would say, that's what drives our wins more so than what's happened to them in the past.
Robert Simmons: Got it. Great. Thank you very much.
Chad Richison: Thank you.
Operator: Thank you. There are no additional questions waiting at this time. I would like to pass the conference back to Chad Richison for any closing remarks.
Chad Richison: Okay. Thank you to everyone for joining our call today, and thank you to all of our employees for contributing to our continued success. We have a busy schedule ahead starting next week with meetings at the KeyBanc Technology Forum in Vail and virtual meetings with Oppenheimer and BMO. In September, we will be hosting in-person meetings in Las Vegas at the Deutsche Bank Technology Conference; in New York at the Citi Global Technology Conference, and in San Francisco at the Wolfe TMT Conference. We hope to speak with many of you soon and appreciate your interest in Paycom. Operator, you may disconnect.
Operator: Thank you. That concludes the Paycom software second quarter 2022 quarterly results conference call. I hope you all enjoy the rest of your day. You may now disconnect your lines.